Operator: Thank you for joining Forward Air Corporation's Third Quarter 2023 Earnings Release Conference Call. Before we begin, I’d like to point out that both the press release and webcast presentation for this call are accessible on the Investor Relations section of Forward Air’s website at www.forwardaircorp.com. With us this morning our CEO, Tom Schmitt; and CFO, Rebecca Garbrick. By now, you should have received the press release announcing our third quarter 2023 results, which was furnished to the SEC on Form 8-K and on the wire yesterday after the market close. Please be aware that certain statements in the company’s earnings press release announcement and on this conference call are forward-looking statements within the meaning of the Private Securities Legislation Reform Act of 1995, including statements, which are based on expectations, intentions and projections regarding the company’s future performance, anticipated events or trends and other matters that are not historical facts, including statements regarding our expected fourth quarter 2023 and fiscal year 2023.  These statements are not a guarantee of future performance and are subject to known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from those expressed or implied by such forward-looking statements. For additional information concerning these risks and factors, please refer to our filings with the Securities and Exchange Commission, and the press release and webcast presentation relating to this earnings call. Readers are cautioned not to place undue reliance on these forward-looking statements which speak only as of the date of this call. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise unless required by law.  During the call, there may also be a discussion of financial metrics that do not conform to US Generally Accepted Accounting Principles, or GAAP. Management uses non-GAAP measures internally to understand, manage, and evaluate our business and make operating decisions. Definitions and reconciliations of these non-GAAP measures to their most directly comparable GAAP measures are included in the press release issued, which is available in the investors tab on our website.  And now I'd like to turn the conference over to Tom Schmitt, CEO of Forward Air. 
Tom Schmitt: Thank you, Rich, and good morning to all of you on the call. Let me start by addressing our performance and our trends first. On our last earnings call, I did say that this freight recession is tricky, and I did talk about intermodal and truckload were lagging the LTL recovery. That was still the case for our third quarter, and also LTL itself, we had a weak July and we were still showing negative year-over-year volume trends in July. That was in LTL turning towards flat in August and we had positive volume trends in September. August and September both ended up in 85 of our territory. And October is showing further volume improvements.  Over the past couple of years and especially in the past few months, you gave us a lot of feedback around our LTL focus and around corporate clarity. We are listening and we are stepping up. Our grow-forward program is all about LTL. It's about rigorous focus on high value freight priced appropriately with industry leading service in a cleansed operating environment and accessing a larger customer and revenue base. That strategy of grow-forward remains unchanged and first results can be seen in our OR trends.  When we announced on August 10th, the acquisition of Omni that was all about going after more of that $15 billion high value freight LTL market, that fourth block of grow-forward, accessing a larger customer revenue base. We will execute that focus organically in three ways.  First and foremost, growing with the core and that's the most important part. Our domestic forwarders have been our core partners since our beginning and we're growing with them again. In fact, since we announced on August 10th, the acquisition of Omni, we actually have grown with our domestic forwarder customers. We have given them our commitment that we will continue to give them the service in terms that will make them win more business. And we'll scorecard track revenue with them, win rates for them, and make sure that we do everything possible to make them win more business with us. We will not confuse efforts with results with them.  Secondly, we will sell full steam direct to those customers who do not work with forwarders. With the August announcement, it should have been clear to everyone that we believe in our superior service and we want to make it available to everyone, large, medium and small. Half the market uses Forwarders and we want to make them win more. The other half does not and we're going out fully after that other half as well. Building out our direct sales force significantly over the next few months, and also we will be laser sharp on getting the volume and pricing sweet spot right for door-to-door service and for direct service. When you look at our numbers, you see we still have work to do on getting the volume pricing sweet spot right for direct and for door-to-door.  The third point, we will live more corporate clarity. Starting in Q1 2024, LTL will be its own reporting segment. And over the next few weeks we are finalizing clear, short and midterm targets action and dashboards for laying out very specifically our increased LTL revenue plans, margin plans and the percentage of LTL as a revenue of the overall company. Corporate clarity is something we will be living more, portfolio review in an accelerated fashion is a big part of that. Forward focus is LTL and what's essential to make LTL stronger.  With that Rich, let's open it up for -- the lines for comments and for questions. 
Operator: [Operator Instructions]. We'll begin with the line of Jack Atkins with Stephens.
Jack Atkins: Okay, great. Good morning and thanks for taking my questions. So Tom, I guess maybe if we can start with the -- maybe double clicking a bit on the organic strategy related to your LTL business. I think part of that requires building out your commercial team and your commercial organization. Could you talk a bit about the investments that you either have made or you might need to make there to really kind of be able to expand your direct to shipper strategy over the next couple of years? 
Tom Schmitt: Yes, Jack. So, first of all, as you know, over the first 40 years we exclusively dealt with our domestic forwarder and other intermediary partners. And then two years ago we started in a small way selling direct and we went to small, medium sized businesses that do not use third parties, that do not use forwarders. That track we have built out very, very slowly and consistently. It's grown over the last few months. It's a commercial team of 20 plus people. We have a very, very strong seasoned leader in place, actually leaders, with Erika Tolar and with Jennifer Johnson hires that we've made in the last year and a half and more recently in one case. Nancee Ronning, our Chief Commercial Officer has developed with her team a very specific plan over the next few weeks to the next year, to two years from now to tripling or quadrupling this, this sales force with sales leaders that are proven in the space of selling direct.  We also have very clear Jack that we have to not make this an investment year, but in fact cut costs and redirect energy and resources from other places and invest it in that direct sales force. But so what we slowly started two years ago with small medium sized businesses only, now it's full force, fair game. That's the benefit of the August 10th announcement that we became very clear about making sure that we are accessing that other half of the high value LTL market, small, medium and large.  What you should be expecting is a roadmap with specific resources in that space over the next few weeks. This is going to be a doubling and tripling of that sales force within the next 18 months. And you should also expect us to go with revenue and margin numbers and percentage of overall company revenue that comes both from indirect sales with our partners and direct sales that we're building out. That roadmap should be extremely specific with milestones, targets and dates, but to be very clear, we're talking about a multi exiting of the effort that we started 2 years ago in a short time frame.
Jack Atkins: That will be encouraging to see, I think, as you guys disclose that. And when you think about your network, both whether it's your terminal infrastructure or your first and final mile capabilities. Do you need to make any investments there to execute on the direct to shipper strategy, or do you feel like you have the infrastructure in place to be able to execute on that?
Tom Schmitt: Yes, we're going to continue doing terminal expansion. If you think about this year, we actually did in the first 10 months, we did five new locations with the Land Air Express acquisition early in the year and then we opened up our 3rd Chicago area LTL terminal. So we did six this year already. We said a couple of years ago, we expect at least 30 over the next 5 years, i.e., about 6 per year. With the strategy that we're now deploying and more aggressively than just going for SMB direct, that terminal expansion game plan may have to be accelerated also. We are very clear that this is not only about recruiting and deploying world class sales leaders, this also obviously needs to have an operating environment, a customer service environment, the pricing environment that goes with it. So that is all part of that overall plan. Again, our strategy has been very consistent. It's accessing as much of the high value LTL freight market as possible, direct and indirect, the tactics that we're going to be pursuing much more aggressively are organic, and that's I think what you're going to be seeing in this plan very, very specifically. This is Jack where I become very German analytical nerdy, and you'll see some of that output.
Jack Atkins: And I guess maybe last question, then I'll turn it over. But it's off in the room, which is Omni and the pending acquisition there. And I know you guys are probably pretty limited on what you can say, but I guess what are the next steps here? I mean, what should we be looking for from an investor perspective moving forward? And at what point are we going to maybe see some resolution to this? Just what can you tell us about the next steps related to Omni?
Tom Schmitt: Yes. We feel very strongly that we are not in an obligation to close, that the conditions for closing have not been met. And that actually does put us into a position to consider options including termination. I'm a big fan of -- when things get longer, they don't get better. So we should be getting out of the circus and into our business 100% full time as quickly as possible. So if we have this conversation again in our next earnings call, I think I did certainly miss my objective. So that's all I can say on this, but we strongly feel that the obligations to close have not been met and the termination is an opportunity that we can seize if we choose to do so.
Operator: We'll now go to the line of Scott Group with Wolfe Research.
Scott Group : So can you -- any color you can share on any discussions you've had with Omni since your update a week ago and any degree of confidence of getting out of this transaction and why you feel confident you can? And then just separately, when you talk about portfolio review. Maybe just give us a little bit more color of what's on the table of stuff to be sold?
Tom Schmitt: Yes. Scott, on the first topic, I think I said what at this point, I should say and can say we feel very strongly that the obligation to close is not there, and the termination is an option. Obviously, Omni has been a business partner and a good customer of ours. We're going to see -- looking for ways to make sure that, that's getting preserved and enhanced. But there's no more I can say. I mean I think I did say, Scott, I mean I just talked with Jack, that longer is not better. So we are looking for a resolution, obviously, quickly, but that's all we should be talking about this. It's much more, I think, full calories and useful calories spent on kind of what we do and what we can control, and that's what I just gave some highlights on with the building out of the direct sales force in addition to serving our world-class intermediaries and make them win more. On portfolio review, it is what we always do. If you remember, every single supporting business line has to make the LTL business better and has to be essential for it, and it also has to live up to its own financial expectations. If you remember 3 years ago, that was no longer the case for one of our supporting business lines. It had to fulfill its service to pool retail distribution business, and we sold it. And all I'm making sure that we are clear on is, we are accelerating that portfolio review, looking at other supporting businesses. But obviously, we don't talk about M&A one direction or the other before it's done. But just be rest assured, we hear loud and clear that supporting business lines have to be essential to making LTL the main show. And when that's no longer the case, and they serve their purpose than graduation is coming.
Scott Group : Okay. And I guess, I understand you're limited in how much more you can say, but can you at least share what conditions have not been met?
Tom Schmitt: There is actually -- in our release that we put out on Thursday last morning, Scott, we do speak to access to material information, for instance, in a timely manner. But we actually, I think, are putting out there 2 specific paragraphs in the merger agreement. So that's -- and the merger agreement is public record. So that's certainly something you can look up. The most important part of it is we control what we control. We are managing our business. We are -- we did say on August 10, we are going after all of the high-value LTL market direct and indirect, and we are just doing more of that faster now organically.
Scott Group : Okay. And then just shifting gears to the guidance, maybe either Tom or Rebecca. Can you just share what's -- I know that we did some debt transactions in the quarter, are we capturing higher interest expense in this guidance? What are the margin assumptions in here? I just want to understand the moving pieces here with the guide.
Rebecca Garbrick: Yes. So first, Scott, happy to talk through some of that. So we gave an adjusted guidance and we put up a note into our earnings release suggesting that we wouldn't be able to reconcile those adjustments, but we believe that, that interest expense that we're putting on is high-yield notes and then other fees on our term loan B that those would be considered part of our non-GAAP. So it wouldn't be part of the adjusted EPS that we've provided. I think from a margin standpoint, Q4 is looking a bit like Q3. When we think about it, we think there's a bit of a muted peak. For the LTL business, Intermodal gets a bit worse in Q4 just from a seasonality standpoint. So there was a little bit of a comparison, if you will, between Q3 and Q4 as you're thinking about it from a guidance standpoint.
Tom Schmitt: The one thing, Scott, specifically on the LTL volumes, right, the volumes are getting better and we see that momentum continuing. What we -- in all fairness are fully focused on and still need to get better at is finding that volume pricing sweet spot for the door-to-door business and for the direct business. The Airport-to-airport business, obviously, we have lived for 42 years. So we've got a very good understanding of how to price that for maximum profitability. We still need to be able to get that came up for the direct business and for the door-to-door business. That's what's reflected in some of the muted numbers that you're looking at for Q4 guidance.
Operator: We'll now go to the line of Bruce Chan with Stifel Nicolaus.
Bruce Chan : Thanks, operator, and good morning, Tom. Good morning. Rebecca. I just want to focus a little bit big picture here for a second. Obviously, there are some maybe questions or concerns or uncertainties about the underlying business strategy. I just want to get a sense of when you speak with your core legacy customers, what are they most worried about? And what are you doing to convince them to some of the fundamentals of your value proposition are still sound?
Tom Schmitt: Yes. I mean, the good news is, I mean, obviously, we've known not just the companies, but most importantly, the players who had those business partners and customers extremely well. I mean our sales leadership and frontline people have worked with them for a long time. So there is a strong relationship and there's also a strong understanding of kind of what makes them win. I'm going to see actually one of them this afternoon, and we have a very open conversations. So what they obviously were concerned about with the acquisition announcement on August 10 is someone else getting preferential treatment. Are we still going to support them and make them win more business. And what do I think, we are very focused on and what we have been successful with is can you measure each other by our actions and by our results much more so than by our words. At the end of the day, my test with our domestic forwarder business partners is when you use Forward Air, are you winning more business than you did without Forward Air. Are you making more margin and that you can keep score of that, but we can keep score of the revenue. And then when you use us, what's the win rate when you use us? Is that going up or down? And Bruce, what we're doing is we have those very specific scorecards in place with those customers. And if at the end of the month, end of the quarter and we're actually keeping those scorecards up-to-date on a monthly basis. Those business partners see they're actually winning more business and they're making more money when they use us. And every single time they go to pad their percentage of winning actually looks better than it did 3 or 6 months ago, they say, okay, still works for us. And in all fairness, since August 10, it's now been more than 2.5 months. Our domestic forwarder customers are using us 14% more than they did before the announcement. So despite a lot of kind of, I guess, straight talk and some of the emotional conversations, the strength and depth of those relationships is very, very, very profound. And I think we're living that and we're keeping score together. And as long as we are well intending competent and make them win more business and move heaven and earth to do so, they're going to keep growing with us. And that's an and, not an or also accessing the direct sales, the direct market. With a small SMB focus that we've had for the last 2 years, we got our kind of training gear in place to make sure that we actually ask all the questions upfront to make sure that we are not stepping on our partner's toes. We were actually going after a market that's complementary and additional to our domestic forwarder business partner market. And so we tried that out with SMB. Now we're going to continue doing that, and we're going to go medium-sized and large customers also. So much more of that, but we are not rookies to that game. But we do still need to get better on finding the volume and pricing suite both selecting the right freight correctly. And again, some of the conservatism into our Q4 numbers is reflecting the fact that we still have untapped upside on the pricing side for the business that's direct and that's door-to-door.
Bruce Chan : Okay. Great. That's really helpful. And maybe just a follow-up. You talked a lot about metrics and KPIs for your customers. Obviously, one of the important ones is service. Can you just talk about how things like damage claims on-time metrics have trended through the quarter from last quarter? And when you think about some of the coming changes to your business and your network, what are the investments that you need to make in order to maintain those levels of service?
Tom Schmitt: Yes. Bruce, it's interesting when we actually did the third-party study last year on looking -- having a third party, this was SJ Consulting ShipMatrix, looking at the entire U.S. LTL market millions and millions of data points and looking for speed, on-time performance, claims ratios. And we came out on top of each one of those metrics over world-class companies. The others are hunting and chasing us. They are very good at what they do, and it always keeps us sharp when they're looking to get better, too. But we have objectively the lowest claims ratio in the LTL market in the U.S. We have objectively the best on-time performance once you actually eliminate or at least make parallel all the exemptions and exceptions. So that takes a lot of investment, which we are obviously making in our terminal network. Our operations team led by Chris Ruble is world-class. But we're not taking this for granted. We have absolutely top-notch competitors that are chasing us. But we are the best at what we do. In terms of investments, anything from making sure that the flows in the terminals are efficient. There's technology we're deploying. We have a great kind of business partner with our CIO, Jay Tomasello and his team that's making sure that the flows are the most direct flows between inbound and outbound floors. That we can actually always locate the freight. We have obviously a guaranteed service on top so that we have a last in first out rule in place. There is significant safety investments, there's significant operational investments that we are making and we're going to continue making those. The best service in the industry doesn't happen. It actually is obviously an outcome of investments in technology is a big one, both on the safety side as well as on the operational efficiency side.
Bruce Chan : Okay. Great. And then just directionally, with the changes in the mix and the changes in the business, have those metrics been flat, up, down?
Tom Schmitt: So with the increased focus on door-to-door and also direct, especially going forward, the investment itself, I think, is still as a percentage of overall revenue going to be somewhat stable. What we do have to do, Bruce, is we do have to get more into making sure that the customer service aspects, the pricing aspects are going to be equally sharp as they were in Airport-to-airport. So there may be a small uptick there for a short period of time. But again, this is why I said before, we have to find the money in other spaces. This cannot be an investment year coming up. But yes, we do have to build out that door-to-door in the direct service, not just on the sales side, as I said before, but also on the supporting team side. So you will see an investment there that has to come from other resources and expenses inside the company. Cost management is certainly going to be a top priority to make sure that we can funnel those types of energy and resources into the direct space.
Operator: We'll now move along to the line of Stephanie Moore with Jefferies Group.
Stephanie Moore : Hi, good morning. I wanted to maybe follow up on -- I'd like to follow up on a point you just made, Tom, in your comment about how domestic forwarders are using more -- kind of using more of your service in the last couple of months. It seems like the underlying freight environment is still pretty weak and the forwarding environment is still pretty weak. So what do you think is driving maybe the stepped-up engagement?
Tom Schmitt: Yes. So we all -- if you look at the entire industry, and that's definitely true to a smaller extent for us also, we did have temporary dislocations. The first one was obviously yellow capacity that went temporarily out of the market, 9% of the doors. Obviously, those shipments still have to be moved and they went to other providers. You saw some of the first-class rate companies reporting, I would bet you that some of them like Siah would have had quite a bit of what otherwise in the past, would have been a yellow business. We had some of that, too, less than the others because the freight mix -- freight overlap between yellow and us is perhaps less fully developed as it was between the yellow and some of the other first-class class freight companies. So -- and then as this obviously had an unfortunate and we are very familiar with that because we lived through a cyber-attack ourselves in 2020 incident on cybersecurity. That also temporarily, I think, shifted some volumes. Having said all of that, if I look at specifically September and as I look at October, it seems like on the high-value LTL freight side. This is less consumer discretionary, more industrial. There is actually a bit more momentum in the demand that we are seeing. When we talk with our business partners, Yes, imports from Asia are still muted, but the LTL environment clearly is better than it was towards the end of Q4 last year, Q1 this year, Q2 this year. So there's a bit of a spring in the step for the Forward industry from the yellow and the [esters] temporary dislocation, but the trends overall are more sound right now. I still am not high-fiving myself here for a huge peak, but this is a better LTL environment right now than it was 3 months ago or 6 months ago.
Stephanie Moore : So maybe just following up on that. Is it -- would it be reasonable to say that with the dislocation from Yellow that maybe some of this high-value freight that 6 months ago, the likes of your public LTL -- the life of the other LTL players the size and ODs, maybe they would have moved some of this high-value freight. But now given the tighter capacity environment, they kind of were giving some of that freight back to you guys? Is that a fair assessment or no?
Tom Schmitt: I wish they were that generous, but I think they know better than that. No. So that's why I said before, I do believe the Yellow dislocation helped the industry on pricing discipline all up, but it also helped some of the players with gaining new volumes, we did get some volumes through our intermediaries for long-haul yellow business and also some of the events business. But we were clearly, from a pure volume perspective, less of beneficiary than some of the class rate companies were. And I do not have the impression that a ripple effect where yellow business went to Old Dominion and their high-end business went to us. I do believe domestic forwarders, frankly, are just gaining more business, getting more business and when they compete with us as part of the contest, they're just -- the win rates are going up. So I do see a better LTL environment going into the fourth quarter. Again, the reason why the numbers look probably somewhat muted or conservative is us being very much aware that we need to figure out the pricing and volume sweet spot for door-to-door and direct the same way we have worked on that many, many years on the Airport-to-airport side.
Stephanie Moore : Okay. Got it. And then just following up there, can you talk a little bit about your plans for a GRI or general rate increase in here going into the fourth quarter or so into 2024? I know some of the other LTL players have kind of announced where they stay kind of looking out for the next 12 months. So any update on the timing?
Tom Schmitt: Yes. We are very consistent when it comes to the process here. So Stefan and Katie Fox and their pricing team towards November, we announced for the following year. We work with our customers directly so that there's predictability and they can actually build those increases into their budgets. They are driven obviously by investments. We talked about terminal investments. We talked about safety investments. And also, obviously, in some cases, there's wage adjustments that we have to make sure we finance and fund. So there's always going to be a GRI. It's always the first Monday in February. So that gives predictability to our business partners for their budgeting season themselves. And I think the ranges that you saw in the last couple of years, 2021 was the high end with 7.9%. Some of the lower numbers you have seen is 5.9%, somewhere in between those two numbers is probably going to be the GRI for 2024.
Stephanie Moore : Perfect. And then lastly for me, and just taking kind of a big picture view, and I appreciate your commentary about kind of building out that direct sales network and going after that incremental TAM in the premium LTL space. So as you’re kind of building out organically, the direct sales team, what do you need to do to kind of make sure you’re preserving your existing relationships with the domestic boarders? I think we talked about what you kind of had in place if the Omni transaction went through. But if it is all kind of done internally, organically, what would be the strategy to kind of preserve your existing relationships while also going after some of the MetroPac business?
Tom Schmitt: Yes. So Stephanie, obviously, a huge focus for all of us here to get that right. But again, I think as a reminder, that estimated and that estimate is probably very conservative because it’s about 6 years old data, $15 billion high-value LTL market that values the no damages, high-speed hitting high time windows. Of that $15 billion, roughly speaking, half of it gets transacted between shippers and companies like us directly, the other half goes through intermediaries. So if you take that, the one thing we have to absolutely nail is, when we go after half that’s not being transacted through intermediaries, we have to be extremely explicit asking the questions upfront, are you using forwarders, heavy work with forwarders, are you intending to use forwarder. And if they do, then obviously, we’re going to do everything possible to make that forward or keep and win that business because they probably have it for a reason. Those companies may not have a sophisticated large transportation or supply chain department because they use those forwarders in essence to be that department for them. So – but that’s – again, the team did a great job, Melissa Fisher and her colleagues kind of over the last 2 years and now increasingly Jennifer and Erica, making sure we ask those questions upfront, and we don’t – and we go by the facts, obviously. In 2 years, there were a handful of instances where there was some noise, literally a handful in thousands of interactions. So we have our training wheels in place here. We know how to ask those probing questions. We know how to actually qualify for that. Stephanie, we will only win if we keep and reearn the trust of our domestic forwarders by making sure we get this very, very right that this is an end not an ore, and it’s complementary, not overlapping. A gray zone here is the end. It's got to be something that's black or white, and we have those probing questions to make very certain. It’s black and white. There is half of the market that gets transacted directly between the shipper and transportation providers, and we need to make sure we identified that half of the market correctly.
Operator: We'll now go to the line of Bascome Majors with Susquehanna.
Bascome Majors : Rebecca, I think to help us reconcile the guidance without necessarily guiding non-GAAP things that you can't guide. Is there any way that you could give us some bookends on what operating income for the expedited freight or intermodal segments are underlying that guide?
Rebecca Garbrick : Yes. I mean, happy to give you a bit of some flavor there. I think when we think about expedited frame, we think about the margin, we are expecting a bit of some margin -- a bit of some margin expansion as we look from Q3 to Q4, not much, but I do think there is a little bit there. When we move down a bit to Intermodal, as I mentioned, from a seasonality standpoint, just looking at the intermodal business, Q3 is typically stronger than Q4, and that, in fact, it does hold true as we think about the guide to Q4. So we will see a step down from Intermodal from Q3 to Q4.
Bascome Majors : And are you talking specifically margins or operating profit on both of those signals?
Rebecca Garbrick : Operating margins.
Bascome Majors : On the -- Tom, this is a legal question. I don't know if you have someone from inside or outside counsel available or if you can just comment loosely. But the shareholder plaintiffs did appeal the ruling in your favor late last week. Any update on how long that would take to have some resolution on whether or not that appeal will be heard would be helpful?
Tom Schmitt: Yes. So -- and I'll tell you, obviously, what I know. So there is -- you're absolutely correct on this. I don't know whether everybody is following this. This had to be with the -- had to do with the temporary restraining order and that 3 plaintiffs, former employees and shareholders in Greeneville and they had the Chancery Court actually received and that temporary restraining order was lifted, which means there's no -- we actually, frankly, appreciated that outcome because it does mean, and that's very important. We're doing things the right way. I always say we're not a hotdog stand. We need to make sure that we get this -- get the right things done, but we also do them the right way. You're right, Bascome. There was a I'm not sure whether the term appeal is technically correct, but there was -- the plaint is asking the judge one more time to reconsider to getting a temporary straining order in place, and there is a hearing and/or ruling this afternoon in Greeneville about that. So there should be more news coming out of Greeneville within the next hours or less. I think it's a 4:00 meeting, so it's more like 6, 7 hours from now. So that's still undergoing. Again, our focus is -- and we have a very, very seasoned mature team here. Our focus is on controlling the things we can control. There's a very small group here, certainly Rebecca and me included, Michael Hance, our Chief Legal Officer, included that need to guide us through some of the ongoing kind of navigation of litigation issues. The other 99.99% of our team need to be fully focused on finishing this year strong. And the guidance, I think, is conservative. But let's -- let it be what it is. I just keep finishing the year strong. We have a very clear strategy. We have a lot of untapped upside. We told the world on August 10 that we're going after this untapped upside, which is going after it organically because that's what we can control right now.
Bascome Majors : Two big picture questions to close. The direct sales strategy was always part of your attempt to Grow Forward. In August, we found out that you thought doing that acquisitively might be a better path to achieving that in and now we're pivoting back to really doubling down on the organic direct sales strategy. Can you talk a little bit about what drove the change of heart and what didn't work as fast as you hoped it would in the first year or 2 of that and why it can work now?
Tom Schmitt: Yes. So first of all, Bascome, I think you characterized this exactly the way we're looking at this. The strategy has been very clear. To your point, the tactics over the last several months looked like they were shifting back and forth between 2 alternative approaches. The good news is those approaches don't have to be alternative, some of them can be complementary and additive. The reason why, Bascome, I fully believe that we can go full steam direct now is at least twofold. The first one is we do have 2 years of experience, basically doing the direct selling in a small way with going after small-, medium-sized businesses that do not use forwarders. So we kind of know how to ask the qualifying questions, what the right high-value freight is. And we started getting better with pricing for it. And again, there's still untapped upside, as I said before. So that's some experience that we can bring to bear. I think the second reason is -- now that we -- on August 10 announced that we are going after that entire direct space. I think we have a license to do it. We, in the past, almost felt constrained because as a company for 4 decades, all we did was working with great business partners, domestic forwarders, and that's an essence all we did. And we started getting our toes into the water with small, medium-sized business. On August 10, we announced that we're going to go after the entire direct market that does not use forwarders. So I think just announcing it, having the tough customer conversations gives us a license to do now what we never felt we had a license to do. So I think that's a mind share and mentality issue. The last thing I do want to mention, I mentioned before, the somewhat nerdy analytic old German mind. We do have a very, very strong Chief Commercial Officer with Nancee Ronning, who has the type of analytical structured thinking and approach that goes together in her case also with a great way of leading teams, developing teams and also having a great relationship kind of building mentality with customers. So I think between having started to doing the SMB, secondly, announcing we're going to do it now for the entire direct market. And third, having the right leadership in place, we've got the ingredients now, Bascome, that we didn't have 3 or 4 years ago.
Bascome Majors : Thank you for walking through that, Tom. I'm going to ask one more big picture question and then pass it on here. But -- I mean it's frankly been difficult for investors to keep up since early August. This war has kind of grown on several fronts, expanded to include your acquisition target itself late last week. I realized you can't talk about the specific path forward given the myriad legal issues involved, but -- if we were to go to sleep today and wake up in February to your 4Q release an initial '24 outlook and everything has gone to plan from your perspective over those 4 months. What are your customers, employees and investors looking at for the company's structure, strategy and go-forward outlook?
Tom Schmitt: Yes. So -- and Bascome, I truly appreciate and I'm very grateful to our team and also to our business partners for having had support and patience over the last several months, all we were doing is pursuing our strategy of Grow Forward. We talked about this before. And yes, I think the fact that we were exploring different tactics getting to a larger customer and revenue-based direct cost a lot of emotional upheaval on multiple fronts. And I realize that I'm sorry for that, and I apologize for that because that's obviously not what we intended to do here. We are doing the right thing. We are the best company in the high-value freight space, and we're working through our Grow Forward strategy to get to provide that type of world-class service to more customers and business partners. And it's been a bit rocky over the last several months trying to get to the best path to execute here. Four months from now, when we all wake up in February to our Q4 release and an outlook for 2024. I certainly we'll do everything possible to have stability in place so that we know kind of how we're going to go forward organically with that strategy. Secondly, I would expect us to be extremely mathematical with a multiyear scorecard of LTL revenue, LTL margins and LTL as a percentage of overall company revenue. And third, I would expect that, that corporate clarity with our portfolio review will have yielded consequences by then.
Operator: We'll now go to the line of Christopher Kuhn with The Benchmark Company.
Christopher Kuhn : Tom, maybe just to the extent if you did take on some Yellow and SD's volume, your sort of thought process around keeping that line. Do you think some of that then kind of settles somewhere else? Or do you feel confident you can keep some of that? .
Tom Schmitt: Yes. So again, Chris, the one thing and I think we even talked about this before, I strongly believe based on data sets that we saw from 1 week to the next like over the last 2 or 3 months, we were a volume beneficiary from those 2 dislocations but we were much less a volume beneficiary than some of the great class rate companies. So we're talking literally a couple or 3 percentage points, not 8 or 10. And -- but the business that we were going after was long-haul business that fits us well, and it also was some events business. So my sense is what came here for a reason, it wasn't a hell of a lot, but what came here should have come here and is going to be here to stay. So those volume trends that we're seeing right now, I expect to continue seeing them.
Christopher Kuhn : Okay. And then just as you go after sort of the larger customers for your direct sales, I know you're going after customers that don't use forwarders, but do forwarders market to them? And will you be stepping on some of your customers' toes as you try to grow the large businesses?
Tom Schmitt: Yes. So this is again where, Chris, we have to get this as black and white as possible. Gray is not helpful here. So I mean -- but fundamentally, if you look at this, going to the automotive industry going to the -- like some of the industrial verticals, you do have companies and they are in the same space, and some of them say, transportation and supply chain for us is a core competency. And others say, in the same industry, that's not something that's core to us. We're going to use a world-class company to help us with that. And all we have to do is it's very surgical. We have developed the right questions to make sure we understand, are we dealing with a company that basically uses forwarders as their supply chain transportation department or are we dealing with a company that has built out that capability and has 50 or 80 people sitting in their operations, research and transportation floor and doing all of that themselves. And if it's the latter, these people tend to not use forwarders. I was at DB Schenker for 3 years between 2015 and 2018. And we had customers in the same industry embracing us and the same industry, other customers telling us, sorry, no need for you. We're going to deal with the transportation providers directly. So I'm very used with that two-pronged complementary approach. And it's actually -- as we saw in the last 2 years, very well executed by our sales team with the SMB space, it's fairly -- if you go about it in a disciplined way, it's fairly doable to find out which of these two you're dealing with. So Chris, I would not expect that stepping on our partners toes at all.
Operator: Our final questioner for today will be Scott Group with Wolfe Research.
Scott Group : Follow-up. I just want to, again, follow up on a few things I heard today. So Tom, when you talked about a mid-80s OR in the last couple of months, is that the whole expedited segment or just a piece of that?
Tom Schmitt: That's just LTL, and that's the type of OR view and mindset that you're going to be seeing next year starting Q1 systemically.
Scott Group : And then -- so within LTL, can you -- maybe can you give us a sense of if it's at a mid-80s OR, what's the Airport-to-airport OR doing versus what's the Door-to-door OR doing right now?
Tom Schmitt: Yes. So we have not made that public. And -- but again, this may be something we may want to do for those dashboards that we're going to be developing. We're obviously tracking both of them separately. Our Airport-to-airport always was the most profitable part of our business. And again, it's our efforts. So if you think of one more in the high teens and perhaps the other one more in the low teens that directionally gets you there. But we need to clearly get better and better with direct and Door-to-door. Some of the class rate companies are clearly demonstrating that it's possible to get into 85, 80 and sub 80 ORs when you sell Door-to-door. So there's certainly a discipline that we still need to get better at but it's certainly not rocket science to get there.
Scott Group : Right. I mean, I guess, ultimately, what I'm trying to get to is you keep saying you really, really want to grow this LTL business, the Door-to-door business. But you said multiple times on the call like that you still haven't figured out the sweet spot of volume and price in this door-to-door business. So I guess, strategically, I'm just sort of struggling a little bit, like if it's a business we haven't figured out yet, why are we so [gongo] about growing it? I'm -- just like I said, I'm a little confused.
Tom Schmitt: Yes, it's -- well, let me give the opportunity people choose to be confused. So let me take that opportunity away. the Door-to-door business, when we went into that 6, 7 years ago, the main reason to go into it was that the TAM is at least 10x of airport to airport. So in terms of just the addressable market, it's a much bigger pond in which we can fish in. Secondly, when you sell direct also to people who do not use forwarders, we also potentially deal with a much larger margin potential because there is no other group in between that's also looking to make a margin off of that opportunity. And third, we do have some verticals, and we have some customers in the direct space that margin-wise work beautifully. So we know it's vast in terms of the TAM. We know that the margin potential and look at some of the best class rate companies, also look at the pure math formula of not having an intermediary in this case. So there's -- it's a vast market. It has huge margin potential. And in pockets, Scott, in pockets we are seeing that we actually can make very, very good margins with it. All we have to do is just to make it the main priority for us to do it more comprehensively across the board.
Scott Group : And then just the last thing, if I may. So assuming you're able to get out of this Omni transaction and obviously save a lot of capital, do you think about deploying that capital to -- there's a whole lot of Yellow terminals about to come to market, like if you want to actually become an LTL, maybe we need some of those terminals. How do you think about that?
Tom Schmitt: Yes. So we obviously clearly have our capital priority kind of set, which organic growth always is number one. you could actually argue that the building out organic -- the direct sales business and then having an accelerated terminal expansion would go well together. So yes, we clearly would be looking at organic growth, including making sure we have the network in place as something that would be a great use for our capital. And Scott, you just mentioned one very particular application, which with the Yellow terminals. We -- so that would come first and foremost. And then we have our regular priority set between M&A, which would be typically smaller tuck-ins, but it could be tuck-ins in the LTL space. And then we obviously have dividends, which we always stick to and buybacks. All of that, I think, has quite a bit of briefing room with the termination opportunity of the Omni transaction.
Operator: And that concludes Forward Air's third quarter 2023 earnings conference call. Please remember that this webcast will be available on the Investor Relations section of Forward Air's website at www.forwardaircorp.com shortly after this call. You may now disconnect.